Operator: Good day ladies and gentleman. Thank you for standing by. Welcome to the DXP Enterprises 2013 Fourth Quarter and Year End Results Conference Call. During today's presentation, all participants will be in a listen only mode. Following the presentation, the conference will be opened up for questions (Operator Instructions). I would like now to turn the conference over to Mac McConnell, Senior VP of Finance and CFO. Please go ahead, sir.
Mac McConnell: Thank you. Good evening and thank you for joining us. Welcome to DXP's fourth quarter conference call. David Little, our CEO will also speak to you and answer your questions. Before we begin, I want to remind you that today's discussion will include forward-looking statements. We want to caution you that such statements are predictions and actual events or results can differ materially. A detailed discussion of the many factors that we believe may have a material effect on our business on an ongoing basis is contained in our SEC filings, but DXP assumes no obligation to update that information. I will begin with a summary of DXP's fourth quarter 2013 results. David Little will share his thoughts regarding the quarter's results and then we will be happy to answer your questions. Sales for the fourth quarter increased 7.1% to $313.8 million from the fourth quarter of 2012. After excluding fourth quarter 2013 sales of $24.3 million for businesses acquired, sales for the fourth quarter decreased $3.6 million or 1.2% on a same-store sales basis. Sales of Innovative Pumping Solutions products increased $5.2 million or 10.8% to $53.6 million, compared to $48.4 million for the 2012 fourth quarter. After excluding 2013 IPS segment sales of $12.3 million for businesses acquired, IPS segment sales for the fourth quarter of 2013 decreased $7.1 million or 14.6% from the fourth quarter of 2012 on a same-store sales basis; this decrease resulted from the timing of customer orders in winter deliveries of components for our packages. The level of customer demand for these products continues to remain good. Sales by our Service Centers segment increased $16.9 million or 8.2% to $224.3 million compared to $207.4 million for sales for the fourth quarter of 2012. After excluding 2013 Service Center segment sales of $12 million for businesses acquired, our Service Centers segment sales for the fourth quarter of 2013 increased $4.9 million or 2.4% from the fourth quarter of 2012 on a same-store sales basis; this sales increase is primarily the result of sales of rotating equipment and safety supplies and services, increased sales of rotating equipment, safety supply services. Sales for the Supply Chain Services segment decreased $1.4 million or 3.7% to $35.9 million compared to $37.3 million for the 2012 fourth quarter. The decrease in sales is primarily related to declines in sales to customers serving the automotive and truck manufacturing markets. When compared to the third quarter of 2013, sales for the fourth quarter of 2013 decreased $16 million or 4.8%. After excluding fourth quarter 2013 sales of $900,000 from acquired businesses, sales for the fourth quarter decreased $16.9 million or 5.1% on a same-store sales basis. Fourth quarter 2013 sales of Innovative Pumping Solutions products decreased $7.5 million or 12.3% compared to the third quarter of 2013; again this decrease primarily is the result of the timing of customer orders and winter deliveries, the level of customer demand for these products remains good. Fourth quarter 2013 sales by our Service Center segment decreased $8.3 million or 3.6% compared to the third quarter of 2013. Excluding sales on a same-store sales basis of $900,000 from our acquisition of Tool-Tech, Service Center segment sales decreased $9.2 million or 4% from the third quarter of 2013. This decline is primarily the result of 3.1% fewer business days in the fourth quarter than in the third quarter. Fourth quarter 2013 sales of Supply Chain Services decreased $200,000 or 0.6% compared to the third quarter of 2013; again the decrease in sales is primarily the result of 3.1% fewer business days in the fourth quarter. Gross profit as a percentage of sales for the fourth quarter of 2013 increased to 30.2% from 29.5% for the third quarter. This increase is primarily the result of increases in the GPS in the gross profit percentages for the IPS and Supply Chain Services segments related to changes in customer and product mix. SG&A for the fourth quarter of 2013 increased $4.3 million or 7% from the fourth quarter of 2012 compared to the 7.1% sales increase. This increase is partially the result of $1.7 million of SG&A expenses associated with the acquisitions completed in 2012 and 2013. As a percent of sales, SG&A was consistent with the fourth quarter of 2012. Excluding expenses of businesses acquired on a same-store sales basis, SG&A increased by 4.2% . This increase is primarily related to the 3.2% organic increase in gross profit. SG&A for the fourth quarter of 2013 decreased $3.7 million or 5.2% from the third quarter of 2013. As a percentage of sales, SG&A decreased to 21.2% from 21.3% for the third quarter of 2013. The decline in SG&A is partially the result of the reversal in the fourth quarter of $2.8 million that was previously approved from earn-out related to the acquisition of Natpro. Also, approximately $1 million of acquisition expenses related to the acquisition of B27 on January 2, 2014 are included in SG&A for the fourth quarter of 2013. Corporate SG&A for the fourth quarter of 2013 increased $6.7 million or 106.3% from the fourth quarter of 2012 and increased $3.5 million or 36.4% from the third quarter of 2013. $1 million of the increase relates to the acquisition expenses for B27 which were incurred in fourth quarter of 2013. The remaining increases primarily resulted from increases in compensation and health insurance costs. Interest expense for the fourth quarter of 2013 decreased 19.6% from the fourth quarter of 2012. This decrease is primarily due to reduction in the average debt balance between the two periods. Interest expense for the fourth quarter decreased 16.2% from the third quarter of 2013; again this decrease is primarily the result of the lower average debt balance in the fourth quarter compared to the third. At December 31, 2013, total long-term debt decreased approximately $43.8 million from December 31, 2012 despite spending approximately $61.2 million of cash on acquisitions during the year. During December of 2013, DXP sold 236,000 shares of common stocks at an average price of approximately $106 per share. Proceeds, net of expenses, were approximately $24.4 million. We estimate that the proceeds from the sale of shares reduced the interest rate on our credit facility by 25 basis points. Therefore, this sale of shares is not diluted. During 2013, the amount available to be borrowed under our credit facility increased approximately $44.4 million to approximately $154 million. This increase is primarily the result of decreased borrowings. Our bank leverage ratio was 1.48 to 1 at December 31, 2013. At December 31, our borrowings under the credit facility were at an average rate of approximately 1.8%. Using the amount of debt outstanding at the end of February, the pro forma leverage ratio, including the effect of the acquisition of B27 was approximately 2.93 points. Borrowings under the credit facility at the end of February were at an average interest rate of 2.41%. Capital expenditures were approximately $1.4 million for the fourth quarter. Cash on the balance sheet at December 31, 2013, was $5.5 million. Accounts receivable and inventory balances were $192 million and $105.3 million respectively at December 31, 2013. Now, I would like to turn the call over to David Little.
David R. Little: Thanks Mac and thanks to everyone on our call today. DXP had another great year and an okay year by our standards, and I want to thank our stakeholders. First, our DXP people for your commitment to be experts and make DXP as best it can be; second, our suppliers for your loyalty and desire to help DXP grow; third, our customers for your trust in us to bring value to your organizations; and fourth, our shareholders for having the faith to invest your money in our performance. DXP increased sales 13.2% to $1,241,510,000; this is short of our internal goal of 10% organic and 10% through acquisitions or 20% of growth. Given a flat economy and zero price increases from our vendors, and little inflation, organic sales were a battle for market share, and we only had a positive organic growth rate of 0.43%. Our outlook for 2014 is much brighter for all three segments and all five divisions forecast much improved organic growth. DXP’s organic growth is based on increased activity; we see the customers’ outlook, price increases we’re seeing in the 2.5% to 3.5% range, economic forecasting has slightly increased in gross national product in our growth strategies in SuperCenter. DXP’s gross profit percentage increased 590 basis points, which I contribute mostly to product mix. DXP continues to work with P2 to increase the amount of sales they go through the systems logic. DXP will apply the P2 logic this year on a regional basis rather than a company-wide bases, which we feel will get better compliance from the regions. To increase our success with P2, we will increase compliance with the suggested pricing and increase the amount of different sales price to go to the system logic. Our goal for DXP is 30% overall gross profit margin. Selling and general and many of administrative expenses were 1% too high in my opinion. There are multiple reasons for this and they all will be addressed this year. The first reason is that we are a growth company and we have spend money on people and initiatives. In a flat economy, expenses simply rise faster than sales. To some degree, we’re okay with this and if our forecast for 2014 are right, that means we are smart investments. The second reason is the DXP feel strongly about investing in sales excellence and operational excellence and success. These programs either grow our people by making them better experts or else with success making their environment a safer and nicer place to work. We believe people feel better, work better and are safer when they have an attractive, clean and an efficient work environment. The third reason is legacy pipe brands; I don’t care how much a high achiever makes as long as he or she earns it and the prior years in alignment with the company goals. DXP tries really hard not to change pipelines as part of the company, but overtime leadership should see the inequities that might exist and suggest changes. Unfortunately that does not only always happen. The fourth reason is we are at a size that required reorganization of leadership, so we can continue to grow. Most of the organizational changes are complete and I feel good about DXPE’s leadership team going forward. In conclusion, I believe that in the second half of 2014, we should start seeing gains and operating leverage. Our goal is 19% of sales including corporate expense, but without depreciation and amortization expense. EBITDA margins were flat and 9.9% of sales. Our stated goal is 10% plus. There seems to be some confusion at a 10% contributed margin that is the company goal for our Service Center locations. This could work if we didn’t have any corporate expense. The corporate expense was 3.27% of sales. So contributed margin should be a minimum of 13% of sales with larger locations being even higher. There are also different expectations based on different product mix. For example, DXP’s safety division with high asset needs and people needs based on higher contributed margin when they need to, which leads me to my next favorite subject, our after-tax return on invested capital continues to be 31.5% for the fourth quarter and 32% overall for the year. This gives us a huge competitive advantage against our peers and certainly the small independent distributors. As we continue to grow DXP’s top line and bottom line to $2 billion and 10% plus EBITDA margins over the next two years, I would like to again thank our stakeholders. A special thanks to our customers that value and understand how aggressive technical products and technical services plus our DXPE efforts bringing solutions helps them have a better business and helps them solve problems. To all the experts of DXP that fulfill our slogan to be customer driven experts in providing the MROP solutions, thank for your continued effort to train and become better experts. Thanks to everyone who is building a SuperCenter. Your customers will love you for it. Thanks and welcome to all our new family members, acquisition of Natpro, Tucker Tools, Alaska Pump, Tool-Tech, first acquisition of 2004, B27, DXP looks forward to supporting you and your successes. Thanks to our regional sales and operational leadership. You guys make things happen. Your execution of DXP strategies and daily decision making are so important to DXP’s success. Your recruitment, coaching and teaching are equally important in a fast growing company like DXP. Your ability to not mess up an acquisition, which is our first primary goal and then overtime merges the acquisition culture and processes into the new DXP culture and processes in a way that the old company wants to be DXP, which creates a stronger brand in the market; congratulations as business people you guys are the best. It is all about being customer driven, from the shipping person to the sales with the personal relationship with the customer. It is everyone’s job to take care of the customers’ need. If customer says, he has one, two problem, we go fix the problem first and then we find out what the problem was or didn’t might be than they thought. DXP is going to take care of its customers’ need period. DXP believes our breadth of engineering and technical products and technical service brings value to our customers. We believe our customers want DXP to pass solutions to local expertise just in-time inventories, build relationships with understand their business problems and prospects. We are not an important number, it is how we apply the product and perform the services business that brings value to our customers. Many, many thanks to the administrative group, HR, IMP, IT, Operations Marketing, Credit Working capital and Accounting; you guys understand the internal and external customers services that we all thank you each and everyone of you. Your great attitude makes a big difference. I believe we are all ready for an improved economy in 2014. With B27 on the book and other acquisitions in the pipeline plus a good organic growth year, we at DXP are excited. Allow me now to focus and summarize the activities of our three business segments; Service Centers, Supply Chain Services, and Innovative Pumping Solutions. The Service Center segments’ sales increased 13.5% from 2012 and 2013 and operating income increased 20.5% for the same period with a 12% operating income market. DXP’s solid operational culture translated into profitability earnings, however acquisitions contributed to the majority of sales growth. While DXP Service Centre segment performed well overall, 2013 proved to be a challenge. The year started off slow with expectations of mid-year pick-up that never nearly materialized. Several factors contributed to the challenges we faced this year. Modest GDP growth, measurable price inflation, increased regulation, backlogs for capital spending budgets from our EMP customers relative to prior years and then shortage of skilled labor in key energy markets. The cumulative effect of these headwinds impeded our affects to grow organically. Fortunately, we believe better days are ahead. In 2012 and 2013 investments and people, facilities and acquisitions are beginning to take action. Our investments in the form of acquiring sales personnel while remaining committed to growing from within for training and mentoring programs are paying dividends. We also make facility investments in our service center network that will create safer, more productive work environments. Our improved ability to convert services centers prospects to SuperCenters has led to a decrease through a number of processed SuperCenters currently in the pipeline. We continue to actively speak out new SuperCenters candidates and we report our progress throughout the year. Moving into Q1 of 2014, we remain optimistic about the economic recovery and strength of our business model. Our Service Center network is powered by power product division platforms that are designed to provide sustainable business results for our industrial customers. The cornerstone of our branch base model is our SuperCenter strategy. These customer driven strategies continue to create value for industrial customers speaking to consolidate their vendor base without sacrificing local inventory and equity. Broadening our portfolio technical products and services, recruiting top sales talent, acquiring great companies will continue to be a recipe for SuperCenter expansion. We are looking forward to competing and winning in 2014. Our focus will remain on further strengthening our North American Service Center platform through the creation of super regions and SuperCenters that will provide sustainable benefits to the industrial customers looking to improve their overall production and financial performance. Supply Chain Services, in the fourth quarter of 2013, DXP Supply Chain Services contributed significantly to the bottom line and secured additional customers and renewals. Of note, year-end is typically slower based on fewer billing days and weather. The majority of SCS customer base closed through the holiday season due to slower business climate and mid-week holiday scheds. SCS secured the renewal of seven major customer contracts throughout Q4. All seven extended their contracts by three years, ensuring continued revenue and potential for more locations. In Q4, the SCS team began three onsite implementations. We are scheduled for completion and we will begin to generate revenues in Q1 of 2014. These new customers are from a mix of markets from mining to manufacturing and will add to diversity to SCS customer base. They also have multiple locations, which will allow us to expand overtime. Additionally, SCS has two implementations underway in Q1 which will be completed in Q2. SCS continues to use technology as a differentiator to gain market share and establish the business segment as experts in automating supply channel. This allows SCS to deliver cost savings to the customer and increase bottom line. We have increased our experienced personnel embedding CMMS, B2B website solutions, warehouse automation to support our efforts. We also have invested in technology, which helps our replenishment cycle and uses real-time data mining and analytics to assist decision making, planning, forecasting, and reporting KPI. Of note, Supply Chain Services started the year off with 58 locations and 90 onsite locations and 96 offsite locations in Q4, we ended the year with 62 onsite locations versus 58 and 96 versus 96 offsite locations. Outlook for 2014 is positive in both increased sales with existing contracts and our ability to obtain new contracts. IPS segment, upstream, oil and gas and mining sector, land based, Innovative Pumping Solutions, code activity and order rate in this sector continue to remain strong. We were optimistic this profile will remain consistent through Q1. We experienced steady quote activity and order placement during Q4 2013. Mining, we had good results in this sector in 2013. We are confident this should continue in Q1. Most of the success related to projects and equipment for the copper mines are in Southwest United States and in Mexico. Midstream, this sector continues to be our top-performing sector as it relates to quote activity, orders received and future order potential. The Eagle Ford, Permian, Bakken, Niobrara, Shale plays are providing the majority of our activity. The Marcellus continues to provide opportunities, however not at the rate of the other previously mentioned Shale plays. The majority of the products being quoted and sold in the Bakken and Niobrara are associated with LACT units being produced in the Golden Fabrication Center. We are supplying equipment for the terminals loading, offloading facilities, utilizing our centrifugal packages, horizontal packages, high energy split case pump and plunger pumps that are being fabricated in a 529 and PMI facility in Houston and our Golden, Colorado locations. The LACT units being produced in West Texas are being utilized at the Eagle Ford and the Permian shale plays. The Eagle Ford and Permian shale play activity has a large component associated with our horizontal pumping equipment as the DXP HP-Plus. Horizontal pump equipment is being utilized in the LACT unit process and pipeline applications. Our centrifugal equipment is being utilized in the gathering system locations, trucking loading and offloading systems as well as booster pumps for the horizontal pump applications. Our high energy multi-stage equipment and remanufacturing high end multi-stage equipment is being utilized in the pipeline transportation and booster station applications. Innovative Pumping Solutions, key differentiator versus our competition is our excellent lead times for faster delivery. Gulf of Mexico, drilling activity is good but new production platforms remain soft. There are a few platform upgrades opportunities that have been quoted and have been in the works for a while and show some promise for moving forward. We have had success in obtaining orders for some of these modular package that have imported. My own personal mode is the growth will come back someday. Canadian markets, municipality, Eastern Canada has been in the area where we see a majority of the opportunities for municipal. 2013 activity was very depressed, 2014 is expected to be slightly better. Oil and gas land based, this sector in 2014 is expected to be flat for 2013. Major players are slow to place equipment orders, quote activity, order potential appear strong. Due to the seasonality, open quotes for variable projects, we are confident we will experience a pickup in orders in Q1. We are talking about Canada. We had, had some success in quoting opportunities in the Houston engineering and contractor firms for equipment requiring delivery to Canadian sites. This equipment due to Canadian regulations, we’ll have to be built in Canada, our Natpro facility in Calgary has worked closely with the Houston team on this project and will build the equipment. B27 international markets, our recent acquisition of B27 has provided access to international geographic areas that B27 has established representation, local presence and a solid customer base. B27 product offering along with the addition of DXPs product offerings will provide greater opportunities to increase our market share in these markets. B27’s international market sector aligned with our domestic land base and offshore upstream and midstream sectors. IPS, is optimistic that Q1 and all of 2014 will remain robust with our products and services supporting the major U.S. oil and gas shale plays, our international upstream and midstream markets in the Southwest U.S. and Mexico finally. That is – I’m done. I guess, we’re now open for questions, fine.
Operator: Thank you, sir. Ladies and gentleman we will now begin the question-and-answer session. (Operator Instructions) Our first question is from the line of Matt Duncan with Stephens Inc. Please go ahead.
Matt Duncan – Stephens, Inc.: Hi Guys.
Mac McConnell: Hey Matt
David R. Little: Hey Matt.
Matt Duncan – Stephens, Inc.: First thing I’ve have got, you talked a little bit about the timing around IPS on the revenue side in the quarter, did you see any impact from the winter weather that we saw especially in the Permian. Did that cause you any trouble on the service center side and what’s all this winter weather we’re seeing across the country in the first quarter (inaudible)?
David R. Little: I guess your question sounds like it was related to IPS specifically?
Matt Duncan – Stephens, Inc.: No just the whole business David, I mean IPS, was there an impact there, but just the whole business in general.
David R. Little: We don’t have any way of quantifying what the weather did to us. I mean we had lots of stores that were closed for a day here, a day there, and two days here maybe – I don’t know really how to quantify that. I don’t know how to quantity the fact that IPS had a lot of work in most of our sales that we thought we might have gotten in the fourth quarter was in the area of IPS and that business can be lumpy as you know when you are doing percentage of completion and maybe weather affected a manufacturer from shipping us some components that we didn’t get that we were expecting to get, et cetera, that might have had an effect.
Matt Duncan – Stephens, Inc.: Okay.
David R. Little: As our service centers, I think to paint this picture correctly, our service centers had growth in the fourth quarter.
Matt Duncan – Stephens, Inc.: Right.
David R. Little: And so that, congratulations to them. The supply chain services, I think they blame weather in just fewer days and so they barely miss sales. So, really the shortfall was really in IPS, and yet we feel great about IPS. IPS is good. We know they had a – they shipped a lot of products. They just didn’t get a lot of new equipment in. They have a good backlog, they have a really very favorable outlook towards 2014. So, I’m not losing any sleep over this.
Matt Duncan – Stephens, Inc.: And David look, I appreciate that this can be a little bit difficult to do because of the timing of shipments, but when you look at the first quarter, do you expect to make up for loss time in IPS. Excluding B27, do you have think that business should have a nice sequential increase. I mean did you get all those things that you would expect to ship in 4Q, did they get out so far in the first quarter?
David R. Little: These jobs takes multiple months to “produce, ship, et cetera.” So I don’t know whether we make up all the difference in the first quarter, I don’t know, yes and I don’t know, no. 
Matt Duncan – Stephens, Inc.: But at the end of the day…
David R. Little: I just know that at the end of the day that IPS feels pretty good about growing their business pretty substantially next year. And so, I think we’ll all be sitting here next year at this time being really happy.
Matt Duncan – Stephens, Inc.: Yes. I mean the important thing is especially after this B27 deal, the amplitude of the volatility in your quarterly results, probably on the rise, because of the IPS business, but at the end of the day, I just want to make sure I’m hearing you correctly, you are very positive on the outlook for that business. You would expect it from being your 10% organic growth goal given what you are seeing in that business.
David R. Little: I’d be disappointed if it only hit 10%.
Matt Duncan – Stephens, Inc.: That’s helpful, okay. Thank you. Just looking at (inaudible) so far, I know you are only a couple months into owning it. How is that going – are you seeing an opportunity to go in and cross-sell some packages you guys build and specialize then for their customer base and vice versa?
David R. Little: I think we were, the first fruits of labor had been around lower in each others cost. As an example, they use a lot of cutting tools. We happen to know a company that sells cutting tools like DXP. And then, they do ASME vessel work and we have to outsource that, and so we see synergies there. There are things that – there are certain customers that would like something to be built in Houston versus being built in Tyler where they can’t go and look at it every other day. And also there is more synergies around reducing our cost than there is sales at this point, but there is also – we each have –pretty amazing we each have a different customer base in the sense that there are customers that really like B27 and there are customers that really like DXP. And so, I think some of the cross-selling stuff will happen. It’s just going to take a little time, and I do think that our group and their group is looking at rotating equipment including pumps, their IFS – group really kind of get out in the pump business, so now they are kind of looking at, well wait a minute, DXP does this successfully, so let’s start looking at some of those kind of products and then some of our customers can look if some of their air stuff and other types of products they do, so from an IFS and an IPS basis, the merge of those two companies is really a pretty thing.
Matt Duncan – Stephens, Inc.: Sure, last thing and I’ll hope back in the queue, Mac on the SG&A cost side, even after backing out the one-time items that you called out you guys were down $2 million in terms of SG&A costs from the 3Q to 4Q, is that just a simple as lower variable cost on the lower revenue and gross profit number or were there some more active controller of the SG&A expenses going on there?
Mac McConnell:  I’d really like to tell you is active control of SG&A, but I think it just because like you said, the gross profit is down sequentially, so compensation from that standpoint is lower.
Matt Duncan – Stephens, Inc.: Okay, helpful guys. Thanks.
Mac McConnell:  Thank you.
Operator: Thank you, (Operator Instructions) and our next question is from the line of Joseph Mondillo with Sidoti & Company please go ahead.
Joseph L. Mondillo – Sidoti & Co. LLC: Hi guys, how are you doing?
Mac McConnell:  Good.
Joseph L. Mondillo – Sidoti & Co. LLC :
Mac McConnell:  I guess, the first question was backlog?
Joseph L. Mondillo – Sidoti & Co. LLC: Yes, just the backlog at IPS, are we looking at a substantially higher backlog versus I guess headed into 2014 versus headed into 2013 a year-ago and what if it done sequentially over the last couple of quarters if you don’t have the actual numbers..
Mac McConnell:  I don’t have the actual numbers. I know from a conversation, the backlog is December 31, replaced during the year, but I.
Joseph L. Mondillo – Sidoti & Co. LLC : Okay I guess, one thing that I’m just looking at is in 2011, 2012, we obviously saw extremely strong organic growth and one think that I’m just trying to get my hands around and if you guys can help me out, we saw growth slow from 50% plus in those years and we saw 9% growth in 2013. So you obviously still very positive on the segments, I’m just trying to understand sort of what’s going on with 2013 just sort of a pause of projects after seeing such a strong growth in 2011 and 2012 and now we are maybe going to get a reacceleration as projects continue to ramp-up again or any sort of color on what you see over the last three years and going forward, it think it would be helpful?
Mac McConnell:  David might do a better job of answering this, but I mean there was clearly in the oil field equipment business in general, there was a marked decline and I’m not talking about our business necessarily, but customers that we sold cutting-tools to customers that we sold bearings to. Our customers have significant declines in building oil field equipment. I think we will continue to have organic growth than Innovative Pumping Solutions, my guess is because we’re selling a lot into the midstream that was still in the catch up mode.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, and then so…
Mac McConnell:  I mean, there was a decline in the industry.
David R. Little:  In my way our outlook is that we are going to grow that business. So I don’t think we have reached.
Joseph L. Mondillo – Sidoti & Co. LLC: I guess one of the reasons why I started off with backlog is, if this sort of anecdotal sort of conversations that you are having with customers are you actually seeing it in your backlog, where are you coming from in terms of having that sort of positive outlook 2014?
Mac McConnell: Well, our backlog is good, it then paint the whole picture but our backlog is good. There is nothing about our backlog they didn’t tell us that we are not going to have a good year. That said, when we start with a budget process that starts with the salesman start talking to their customers, so we listen to our customers, we get it what’s their budget for the years, is it a increase or a is it a decrease, what projects they have on the Board. And so a lot of our sales come from things that and what I am trying to paint is that we don’t have a backlog that’s going to say that we are going to do $250 million next year, because a lot of this equipment that we sell, we do get an order today or in a month later, we ship it. So there is a bunch of that type of business. There is other kind of business that we work on for a year or more and then we build it for a year and then we finally ship it and so we have some visibility of backlog, but we don’t have a 100% visibility of backlog and so that’s why we are not total relying on backlog.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay.
Mac McConnell : So we listen to our customers and our salesman and our regional managers and we bubble up a budget and part of that budget, our Service Center sale IPS stopped. So we got to get a forecast from them on how much IPS stock to they see on the horizon and we use that number and then we have the salesman they call engineering contractors and they understand the bigger or more long lead time items, so we get a picture of that and then we repair to the services stuff, so we get a picture of that, so all of that has to be put together it and come up with our forecast and in our forecast I think I have clearly stated now it’s above 10%.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, all right, yes, but just trying to get some color just given the significant slowdown of growth that we have seen. I know you have had a some tough comps and obviously it can’t, that 50%, 60% growth on an organic basis, not sustainable, but yes, I was just trying to get an idea, what are…
David R. Little: The wild card to me is that we are drilling in the Gulf of Mexico, but we haven’t seen the new production platforms that will come on board at some particular point, rather once they have a feel and then they need it and they will produce all the drilling that they have done, they have built a new platform as multibillion dollar platform that we sell a lot of equipment through that. We haven’t seen sales from that particular segment ever since the [indiscernible] sales. So that’s going to come back at some point in time. So we are kind of looking forward to that also and at the same time though B27 has brought to the table a much greater international presence, so where we are selling a few things to South Africa or et cetera, we think maybe B27 is going to allow us that knock on a few more doors than we used to knock if we can sell our product to a broader global base and so there are lot of positive things.
Joseph L. Mondillo – Sidoti & Co. LLC : Now that you are going out up, because that’s a question that I did have and now that you have done couple, I guess two months on the books in terms of working with B27 since the close of the acquisitions, how significant do you actually think that how significant is that going to be to your growth being able to have that sort of more access to the global market?
Mac McConnell: Well, I think it’s going to be real important and real successful, I don’t again these jobs by the nature of them, we started on January 1 then we may not see any results from that until next year I mean move not to 2015.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, so it’s going to take a little time and just getting into business.
Mac McConnell: Correct.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, in terms of the margin IPS, it’s been a little volatile you saw 20% margins in 2012 and we come down about 400 basis points in 2013, but you did see a pretty good ramp up in the fourth quarter. So, what kind of – what do you think it’s going on there? What happen in 2013, I know Natpro did bring that down a bit, but next issue, how do you sort of look at sort of the normalized I guess operating margins IPS and what happened in the fourth quarter, why sequentially you saw such a big jump, sequential on a sequential basis?
David R. Little: Yes, you want to me to…
Mac McConnell: Sure.
David R. Little: Okay, first of all you’re absolutely correct without breaking down into organic versus inorganic. Natpro is not, its gross margins are less and their profitability is less, and so they’re bringing down some of the members and we’re all over that, we look at that frankly as a big opportunity, to not only grow our fabrication business in Canada, but also grow it in a way we can make some money. The other thing that happen this particular year is that our branches at our Service Centers had a bigger piece of IPS sales a normal, they and again they’re just better connected with the land based on sort of the shale plays. And so their expenses are higher, their expenses of doing business is higher than an IPS versus an IPS doing at it, it spelled so the bigger difference because I asked is, quite it’s great question by the way and I asked it multiple times in our sales about 10 different PD, and the answer is that we allocate expenses to IPS for the sales, that the Service Centers bring to it, and their expenses are higher, so it’s fair to bring higher expenses over and so that has cause the expenses to go up and expenses is basically where it is, it’s not really in gross profit, it’s in higher expenses, and so that’s in the course and makes the Service Centers look a little better.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, I’m sure this probably a lumpiness to the business as well just given the lumpiness of the orders and such.
Mac McConnell: Yes, there is – you heard me talk about geared up for increased activity and et cetera, and so it’s hard to find good engineers and things like that, so we’re trying to stay ahead of the curve, and the sales weren’t – didn’t finish the year off, quite as strong as we would like, so expenses probably a little more outlined than they might normally be.
Joseph L. Mondillo – Sidoti & Co. LLC: So you said there is a timing issue in terms of IPS, why it’s a little below expectations? Is that all going to hit in the first quarter then.
David R. Little: No, I don’t think so on and but again I don’t always know how percentage completions going to go working and percentage completion is based on labor hours and it’s also based on major components, so in the major components yet is when we have pick up on percentage completion and so therefore percentage completion by the way and we just give you some numbers it’s hard. Those positive $12 million in the third quarter and it was negative $12 million in the fourth quarter.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay. And then just lastly on the margin, speaking on the margin question here in terms of the Service Center margins they were it looks like 13.9%, which is much higher than any of the past quarters, what’s exactly is going on there to for that?
David R. Little: A piece of it could relate to fully now the same reason why the SG&A is higher and IPS for the fourth quarter…
Joseph L. Mondillo – Sidoti & Co. LLC: Okay.
David R. Little: To pull the SG&A out of the Service Center that help them a little bit, they are slightly you took all those business that I promise that in the Service Center. But we also took a while of SG&A why which help to improve the margins.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay. And then lastly Mac, can you give me the corporate expense line and the amortization expense line?
Mac McConnell: Sure for Q4?
Joseph L. Mondillo – Sidoti & Co. LLC: Yes, for Q4
Mac McConnell: Corporate expense was $12.9 million and amortization whereas $2.6 million.
Joseph L. Mondillo – Sidoti & Co. LLC: Okay, all right. Thanks a lot.
Mac McConnell: You’re welcome.
Operator: Thank you. Our next question from the line of Holden Lewis with BB&T. Please go ahead.
Holden Lewis – BB&T Capital Markets: Great, thank you good afternoon.
Mac McConnell: Hi, Holden. How are you doing?
Holden Lewis – BB&T Capital Markets: I am all right, thank you. I just wanted to get a little bit of housekeeping first. I missed the M&A numbers. Can you tell me how much was the exact sort of acquired revenues with total business as well as IPS and sort of others?
Mac McConnell: Sure, for the fourth quarter?
Holden Lewis – BB&T Capital Markets: Yes
Mac McConnell: The acquired revenue was $24.306 million.
Holden Lewis – BB&T Capital Markets: Okay.
Mac McConnell: That is $12.279 million for IPS, $12,027 million for Service Centers.
Holden Lewis – BB&T Capital Markets: Okay, great. And then I just wanted to sort of make sure I understood also a couple of pieces I think that were SG&A you talked about a $1 million from M&A as a drag. And did you talk about $2.8 million benefits from reversal?
Mac McConnell: Yes. So, for a net of $1 million.
Holden Lewis – BB&T Capital Markets: Okay. So the 2.8 is truly unusual and where it that hit in terms of the cycles?
Mac McConnell: It’s all in SG&A and that when we originally did the purchase accounting for Natpro we set up the goodwill and intangibles of that 50% IPS, 50% Service Center. And so it came out $1 million for in IPS and $1 million for in Service Centers.
Holden Lewis – BB&T Capital Markets: Okay. And then the $1 million in M&A is that, I mean it sounds like usual because the $27 you obviously had usual typical a lot of acquisitions, I mean is that $1 million stand out is neutrally unusual for of late that sort of been more than norm?
Mac McConnell : I guess the degree of unusual, I mean we spend a bunch of money buying HSE also. But the $1 million is a lot of for us, I mean the smaller acquisitions or we have our own council. We do the learn agreement, we partly have legal fees. B27 we did quality of earnings, I did for important the quality of earnings review, we hired consultants do environmental work. And we have about how about council helping us.
Holden Lewis – BB&T Capital Markets: So, okay as order of magnitude humiliated is definitely stands out has being a bigger number that’s typical?
Mac McConnell: Coincidentally Q4 to Q4 comparison we didn’t have really expenses last year in Q4. million is all an addition, I mean look at it on a total year to total year, the acquisition expenses are also…
Holden Lewis – BB&T Capital Markets: Okay.
David R. Little: In corporate.
Holden Lewis – BB&T: Got it. And then few last things are taking more that it only stage you’re going to be having the 2014?
David R. Little: I am look at that.
Holden Lewis – BB&T Capital Markets: Okay. We’ll get it online. And then just talk to us about how the seasonality with B27 is going to work. We know how your traditional business is work historically. But B27, to what degree – how that shift so with revenue and profit seasonality I think model with out?
David R. Little: I don’t remember any seasonality, I mean, I know how it works for 2013, but I don’t know that’s just the random, because the business was so lumpy. It’s the way it works. Definitely their profitability started out well in the first quarter, got a lot better in the second quarter, had a huge third quarter and then declined in the fourth quarter, but I think that’s just the way it worked out. Somewhat has driven by when you get the orders from the customer.
Holden Lewis – BB&T Capital Markets: Okay. So we should necessarily not change your historic sheet now with this off of B27?
David R. Little: No.
Holden Lewis – BB&T Capital Markets:  Okay. And then lastly, it sounds like you sort of backed a little bit [indiscernible] internally. You talked about sort of changing how you’re going to approach your pricing software going to more a regional approach. You talked about changing some your management structure to be in position for growth. I mean all those seem like a bit a hallmark of a little bit of a re-org internally. Can you just talk a little bit more about sort of the thinking that went into that, how long that’s been in the works, where you are in terms of implementing it or anything regarding some of those groups?
David R. Little: Yes, actually most of the changes were towards the end of the year, but they’ve been discussed and re-discussed all year long and they’re not really all that scientific besides the fact that you can’t have your Senior Vice President or service centers having 30 people report to him. So it was really more about that that. It was a little bit and so we still haven’t – we have these 13 regions and so we thought about creating maybe over super regions, we’ll call him that. I don’t know if that a good term or not, and so we’ve actually done to two of them to give those people a little more focus. Then we moved around some of the administrative group, IT that somebody beside myself who actually had some time to spend with him. And just some shifts like that – to some extend I like to move people around, just have another new set of vibes, look at things. And so that’s just some of my own style, but most of the critical parts of it was we were just so flat that we had two many people reporting to.
Holden Lewis – BB&T Capital Markets: Okay. So essentially involved putting it at the layer of management into the system?
David R. Little: Yes, but we didn’t – I don’t believe in doing it like, okay, let’s [indiscernible] a president. You still just have one president. So what we tried to do was to create. We’re taught, came in with services centers, still has 11 reports and this senior regional guy, super regional guy, he still has 10 reports. And so it doesn’t do any good to create a layer where you still just have to meet people reporting to a different person. So it’s still designed to be as flat as possible I believe in that above whole heartedly. And so it…
Holden Lewis – BB&T Capital Markets: Didn’t hire anybody new?
David R. Little: Well, I did hire a new DXP safety guy and probably – and so some of what I’ll do into is strengthening the product division gaps.
Holden Lewis – BB&T Capital Markets: Okay. Those are all cost related to what you’ve been doing sort of in the Q4 baseline?
David R. Little: Yes.
Holden Lewis – BB&T Capital Markets: Okay. All right. Thanks.
David R. Little: You bet.
Operator: Thank you. Our next question is follow-up from the line of Matt Duncan with Stephens Inc. Please go ahead.
Matt Duncan – Stephens, Inc.: Hey, guys. Just a few quick follow-ups. On the three supply chain locations you guys implemented in the quarter in terms of an aggregate annual sales contribution from those locations, what shall we expect?
David R. Little:  We’ll have to give you that information, I don’t know.
Matt Duncan – Stephens, Inc.: Okay.
David R. Little: You are right that we did three new sites.
Matt Duncan – Stephens, Inc.: Yes. So I mean those in three you’re going to be adding revenues dollars in the first quarter?
David R. Little: Exactly.
Matt Duncan – Stephens, Inc.: Yes and then B27, at the time you guys announced that deal I think that you had expected $198 million in sales and about $35 million net of debt, there you are not coming in pretty close to that.
David R. Little: The EBITDA was $30.2 million.
Matt Duncan – Stephens, Inc.:  Okay, what about the sale, Mac do you know that?
Mac McConnell : I do. 175.
Matt Duncan – Stephens, Inc.: And, David is that the same sort of deal that you say, is that just timing of when shipments when out another percent of complication as well?
David R. Little: We never – no those were their numbers, they were the investment bankers’ numbers and those were not the kind of numbers we used when we forecasted, what we think accretion would be. And so I know while you guys that we were nuts in terms of probably having a pretty, a lower number than you thought. And so, I just think that, going into a deal like that you know that everybody is trying to put their best foot forward to where we could, we possibly might – we that will, just is prefect will hit 198 or something.
Matt Duncan – Stephens, Inc.: Okay.
David R. Little: I just don’t think, we ever felt that strongly about those kind of numbers, but it was their number. So it was the investment banker number, and it was the general managers’ numbers and…
Matt Duncan – Stephens, Inc.: But do you still expect that business to grow at least 10% this year. I know that was your expectation at the time you announced that deal?
David R. Little: I do, absolutely.
Matt Duncan – Stephens, Inc.: Okay, and in terms of just looking at the EPS accretion Mac, I think one of the things that you included in the accretion analysis which you did, it was the million three of acquisition related costs following at 2014. It sounds like most of that ended up falling in 2013. So that, we at least need to back that out, yes, okay.
David R. Little: That’s very correct.
Matt Duncan – Stephens, Inc.: Okay, and then the last thing I got, an update on M&A pipeline just beyond B27. I assume you guys were still out there actively looking for things what that pipeline look like, David.
David R. Little: Yes, Ken is going to kill me. He had a whole write-up and then I just got tied to regions so I skipped over as well, actually I accidentally skipped over that, I didn’t mean to. He says that overall, we are pleased with our acquisitions. During the first half of 2014, we anticipate closing one to two acquisition deals of approximately two to three during the second half of the year.
Matt Duncan – Stephens, Inc.: So, two to three in the second half of this year?
David R. Little: And one or two in the first half.
Matt Duncan – Stephens, Inc.: One or two in the first half, okay. Are any of those larger being able to, so they are going to be back and sort of the bread and butter $20 million to $50 million of revenue kind of deals, we’ve seen you guys do so accretively through the years.
David R. Little: Yes, I think the ones that we could count on for sure are more the smaller.
Matt Duncan – Stephens, Inc.: Okay, all right thanks guys, appreciate the insight.
David R. Little: You bet.
Operator: Thank you. And your next question is a follow-up from the line of Holden Lewis with BB&T. Please go ahead.
Holden Lewis –: Hi, thank you again. I just – I wanted to get a little bit more color on the margins in both of the MRO and the ITN [Ph] business service on that is good. To kind of understand, what you were trying to relate that one segment could – one segment’s margin might come at the exact price but the other just based on how you are allocating expenses between them based on the sales. But the margin in both businesses were very strong, I guess I didn’t understand the message about allocation versus the fact that both segments were really strong.
BB&T Capital Markets: Hi, thank you again. I just – I wanted to get a little bit more color on the margins in both of the MRO and the ITN [Ph] business service on that is good. To kind of understand, what you were trying to relate that one segment could – one segment’s margin might come at the exact price but the other just based on how you are allocating expenses between them based on the sales. But the margin in both businesses were very strong, I guess I didn’t understand the message about allocation versus the fact that both segments were really strong.
David R. Little: We agree with you, the both are still strong. I think we are trying to answer why we did 19% operating margins in 2012 but in IPS and this year, it was 16% something. And so, when we dug into look at that, it shows up in expenses and then when we – because margins are okay, growth margins were okay. So we started looking at those expenses. And they are just two-fold, one is they invested money in people to grow their business and they could possibly got a little ahead of themselves which is fine. IPS said they still have very, very good margins. And the other though is that there was a higher percentage of business that the service centers reduced and so when Mac allocate the expenses, will service centers expenses run higher than – will sales dollar run higher than IPS’ expenses for sales dollar. And so there is just a kind of mix to just why and so, I don’t think it’s a better bid or hurt one way or the other. It’s just a fact that service centers cost more to operate than IPS.
Holden Lewis –: Sure. Well, I guess the other way to look at it, if you had sort of $1.4 billion – I think it’s – has $1.4 billion related to the reversal in each of those businesses, if you give back that out, I guess the IPS margin was really sort of in the same ballpark, that you saw in Q2 and Q3 where the MRO was up. I mean did that kind of…
BB&T Capital Markets: Sure. Well, I guess the other way to look at it, if you had sort of $1.4 billion – I think it’s – has $1.4 billion related to the reversal in each of those businesses, if you give back that out, I guess the IPS margin was really sort of in the same ballpark, that you saw in Q2 and Q3 where the MRO was up. I mean did that kind of…
David R. Little: And sort of third phase which I think you are talking about now is that we acquired Natpro and Natpro’s fabrication business is not as profitable.
Holden Lewis –: Right.
BB&T Capital Markets: Right.
David R. Little: Okay. And so that's the $1.4 million you are talking about. So if you take that out then you still have profit conservatively to build-up.
Holden Lewis –: Well, I was actually talking about the reversal.
BB&T Capital Markets: Well, I was actually talking about the reversal.
David R. Little: I think if you are comparing Q3 to Q4 or Q4 to Q3. In 2013, both segments have an extra – have a $1.4 million reduction of SG&A, which is a bigger deal – like the bigger effect on IPS.
Holden Lewis –: All right, absolutely, if you strip that out it looks like the margin of IPS is kind of study from Q2 to Q3 and then it will be margin in MRO is still quite a bit higher. I mean that is really a better picture? Or a better way to think it out?
BB&T Capital Markets: All right, absolutely, if you strip that out it looks like the margin of IPS is kind of study from Q2 to Q3 and then it will be margin in MRO is still quite a bit higher. I mean that is really a better picture? Or a better way to think it out?
David R. Little: Yes, I mean that’s.
Holden Lewis –: Okay, right. I said a million of SG&A that is for corporate?
BB&T Capital Markets: Okay, right. I said a million of SG&A that is for corporate?
David R. Little: That's only corporate.
Holden Lewis –: In absence that, the corporate was about 11.9 negative, which is still a pretty big number. What are there dips that are in that?
BB&T Capital Markets: In absence that, the corporate was about 11.9 negative, which is still a pretty big number. What are there dips that are in that?
David R. Little: Corporate absorbs 100% of health insurance for the entire company. Company adds all these employees, the health insurance is all going into corporate not into the segments. Well that's a piece of it. I mean there is million health insurance [indiscernible].
Holden Lewis –: Okay.
BB&T Capital Markets: Okay.
David R. Little: I mean there is also a compensation, I mean all net got with – from the administrative side of accounting, I mean we have a very centralized back-office and so as we add more and more businesses, corporate gets bigger. But more people require to pay the bills.
Holden Lewis –: Right.
BB&T Capital Markets: Right.
David R. Little: Well, there are more people required to collect the receivables, so it all grows.
Holden Lewis –:
BB&T Capital Markets:
, :
David R. Little: I mean health insurance was higher and some of that I guess could just be claims and compensation was higher.
Holden Lewis –: All right, great. Thanks guys.
BB&T Capital Markets: All right, great. Thanks guys.
David R. Little: Yes, really when you back out the million dollars of acquisition when you are dealing with a smaller number, and like health insurance and compensation covered the rest.
Holden Lewis –: Thank you.
BB&T Capital Markets: Thank you.
David R. Little: Thank you.
Operator: Thank you. There are no additional questions at this time. Ladies and gentlemen, this concludes the DXP Enterprises 2013 fourth quarter and year-end results conference call. Thank you very much for your participation today. And you may now disconnect.